Operator: Good day, and welcome to Cogeco Inc. and Cogeco Communications Inc. Q1 2024 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrice Ouimet, Senior Vice President and Chief Financial Officer of Cogeco Inc. and Cogeco Communications. Please go ahead, Mr. Ouimet.
Patrice Ouimet: Thank you. So good morning, everybody, and welcome to this first quarter conference call, which Philippe Jette and I will present. So before we begin the call, I'd like to remind listeners that the call is subject to forward-looking statements which can be found in our press releases issued yesterday. Please go ahead, Philippe.
Philippe Jette: Good morning, and thank you, everyone, for joining us for the first quarter results of fiscal 2024. But before we start, on behalf of Cogeco's management team and myself, we would like to extend our warmest wishes for the upcoming year to all of you. The first months of fiscal 2024 have been highlighted by significant milestones for our company. First, we secured additional wireless spectrum at attractive prices during the federal government's 3,800 megahertz auction, which now brings the spectrum coverage of our wireline footprint to 100% in addition to providing valuable spectrum in the Greater Toronto, Montreal, Quebec City, and Ottawa regions. In total, we have now either acquired or secured nearly $600 million worth of spectrum across several frequency bands that are considered optimal for 5G wireless services. We remain in MVNO access negotiations in Canada, as securing satisfactory wholesale rates for access to incumbent wireless networks is critical to the success of our mobile business. We cannot comment on the anticipated timeline or completion of the negotiations or potential arbitration that could extend this timeline. As a reminder, however, we don't anticipate a material rollout of our Canadian MVNO operations in the short term as some preparation work remains. Beyond the regulated MVNO framework, we will remain open to have commercial deals for part of the service, should they be of mutual interest to the parties involved. Additionally, our progress towards entering the U.S. wireless market through commercial MVNO arrangement in the states we operate in is going well and we expect to provide further updates in the near future. For context, it is easier to get into mobility in the U.S. under reasonable economic terms, as incumbent wireless carriers are willing to negotiate commercial MVNO arrangements. Further, the capital requirements to launch an MVNO service are very low, as there is no need to acquire and deploy spectrum and back office functions can be provided by third parties. The aim for our mobile offerings in both countries is not only to improve our bundling efficiency, but also to increase our addressable market, strengthen our product mix, add an important customer acquisition channel, and improve our customer retention and satisfaction, all the while being capital efficient and accretive to our business in due course. A second important milestone occurred subsequent to the end of the quarter. On December 11, we bought back shares in both Cogeco Communications and Cogeco Inc. at attractive prices per share following the acquisition by the Caisse de depot et placement du Quebec of all Rogers stake in both companies. These transactions provide several benefits, including increasing the net asset value of Cogeco, increasing the public float of Cogeco Communications, and generating free cash flow per share accretion in both companies. This opportunity represented a unique and attractive use of our capital to build value for shareholders and increase trading liquidity, while strengthening our existing partnership with CDPQ, a leading global asset manager, as an anchor investor in Cogeco Communications. As our financial performance for the quarter, our Q1 2024 results were in line with our expectations as we balance Internet subscriber growth with financial performance. Our Canadian operations demonstrated strong Internet subscriber growth, though declines in video and phone pressured revenue and adjusted EBITDA. In the United States, the ongoing economic and competitive challenges continue to be a headwind for our Breezeline operations. In both Canada and the United States, we continued to see the financial benefits from our fiber-to-the-home network expansion programs which contributed to new Internet subscribers in both markets. In Q1, we added more than 13,000 homes passed, bringing our total to 209,000 homes passed, since the beginning of fiscal 2022, representing over 7% growth in our network. Many of these new broadband deployments were facilitated by government subsidy programs, aimed at reducing the digital divide and allowing us to expand our fiber network in attractive areas. Going forward, we are preparing for the construction phase of additional projects in Ontario with funding support from the Ontario and federal governments. In the U.S., we are continuing our network edge-outs, as well as expanding in Virginia under a state initiative to extend our broadband services to underserved areas. Additionally, we look forward to the upcoming launch of the $43 billion feed funding program, where each state will run its own process of allocating funds for fiber expansion in rural areas. Bidding is expected to occur in calendar year 2024 and 2025. If we were successful in bidding or bid funding, FTTH buildouts would then be undertaken over multiple years. On the radio side, our stations remain at the top of the ratings, confirming once again our leadership position in this market. Furthermore, our ongoing efforts to develop innovative digital solutions and adapt to a multiplatform audio content model are bringing to bear fruit -- beginning to bear fruit, which we believe will put us in a good stead over coming quarters. I will now review our operational results. And I'll begin with Canadian operations. We continued to connect more homes in unserved and underserved communities in Quebec and Ontario, including through government partnerships and added nearly 7,800 additional homes passed this quarter, bringing the total to approximately 104,000 new homes passed, since the beginning of fiscal 2022. Our Canadian team achieved its first -- its best first quarter of retail Internet additions in the past 12 years with nearly 11,000 new Internet customers added in the quarter, driven by contribution from our digital oxio brand, our entry into newly served areas, and effective sales and marketing and customer service in legacy territories. As for our U.S. operations, in Q1, our fiber network expansion program added nearly 6,000 new homes passed, bringing the total to more than 105,000 new homes passed since the beginning of fiscal 2022, further expanding our total addressable footprint. Our network expansion program and ongoing demand from existing customers for our higher speed offerings helped offset customer losses at lower price points due to competition and challenging market conditions. Consistent with our Internet-led strategy to improve overall customer lifetime value, in Q1, we continued to see an improving product mix and customer tenure, driven by a greater proportion of new connections taking faster Internet speeds, resulting in a higher average revenue per unit. Our focus on cost efficiencies and product improvements, such as our convenient self-install equipment, helped deliver another quarter of higher adjusted EBITDA margins. Within OI, we have significantly improved the speed and the quality of the network and proactively swapped video equipment for our modern IPTV. We are continuing to focus on turning the Internet customer base to growth as we focus on gaining greater brand awareness in the region. On that front, we have made solid progress that is beginning to show in our Ohio subscriber numbers, though we still have work to do. Outside Ohio, Internet customer net losses were essentially in line with Q1 a year ago. For Cogeco Media, although the radio advertising industry remains on a long road to recovery, we are happy to report another quarter of year-over-year growth in revenue, as our local advertising sales have been modestly rebounding. Having our stations at the top of the ratings, including 98.5 Montreal, Canada's most listened-to radio station, positions us well to face the industry challenges. In the meantime, we continue to expand our multi-platform audio content options, with more digital ad tech solutions, social media-oriented formats, and state-of-the-art studio facilities which are now making meaningful contributions to revenue growth. Now let me turn the call over to Patrice, who will provide more details on our financial performance for the quarter.
Patrice Ouimet: Thank you, Philippe. So I'll start by mentioning that the growth rates that I'll be referring to are in constant currency unless otherwise noted. In Canada, Cogeco Connection revenue grew by 1.2% in Q1, resulting mainly from the oxio acquisition and a higher Internet service customer base, partially offset by a lower video and phone customer base. EBITDA declined by 1.1% as we had expected, due to revenue growth being offset by higher operating expenses due to timing. In the U.S., Breezeline's revenue was down 6%, driven mainly by a lower customer base over the past year, with an increasing proportion of customers only subscribing to Internet services. Partially offset by higher revenue per user as customers subscribe to faster Internet speeds. EBITDA declined 3.6%, partially mitigating the drop in revenue as an increasingly attractive product mix continues to develop, along with cost reduction initiatives that have positively contributed to EBITDA margins. Turning to our consolidated numbers, at a consolidated level revenue declined 2.5%, while our adjusted EBITDA fell 2.8%. On the expected software results of our U.S. and Canadian operations this quarter, along with a slight decline in margin resulting from the higher corporate costs. Those were due to the timing of certain expenses, including in relation to our plan to offer mobile services in Canada. Capital intensity was 19.6% compared to 25.8% last year due to the completion and the timing of several fiber-to-the-home network expansion projects. Excluding those network expansion projects, capital intensity was 15.3% compared to 17.2% last year. The lower capital intensity, notably in the U.S., was partially due to inventory drawdowns of customer premise equipment which were accumulated during the pandemic to mitigate potential supply chain disruptions. Free cash flow increased by 30.7% over last year, primarily driven by lower CapEx in both countries. Excluding network expansion projects, free cash flow remained relatively stable. Net debt also remained stable in the quarter with a debt-to-EBITDA ratio of 3.4 turns. We have also declared a quarterly dividend of $0.854 per share. Turning to Cogeco Inc., revenue declined by 2.3%, while EBITDA declined by 2.6%, as a result of Cogeco Communications performance. Media operations revenue increased by 4%, aided by a strong listener engagement across many of our stations and partner contributions from digital advertising revenue. A dividend of $0.854 per share was also declared in a quarter for Cogeco Inc. Now let's discuss Cogeco Communications' financial guidelines for fiscal 2024, which we first provided to investors in early November. With Q1 results in line with our expectations, we are maintaining our annual guidelines, with assumptions remaining the same as outlined on our last call. Our free cash flow forecast now includes the impact of higher interest expenses related to additional debt following the 3,800 megahertz spectrum auction and the December share buyback. As relates to Q2, we currently expect revenue to decline in the low single digits in constant currency and EBITDA margin to be about 100 basis points lower than the second quarter of last year. Capital intensity is anticipated to be approximately 8 percentage points above Q2 of last year. At Cogeco Connection, in Q2, we expect revenue growth in the low single digits. EBITDA is anticipated to decline in the low single digits on higher operating expenses to drive and support customer growth and then leading to EBITDA growth in the back half of the year. At Breezeline Q2 revenue is anticipated to decline in the low single digits, reflecting the competitive environment and video cost cutting. EBITDA is anticipated to increase year-over-year in the low single digits, driven by cost reduction initiatives implemented in the second half of 2023. EBITDA growth is also expected in the following quarters at Breezeline. Below the EBITDA line at a consolidated level, we expect acquisition, integration, and restructuring to be roughly in line with what was recorded in Q2 of last year. In terms of CapEx, we expect Q2 to be our largest quarter of CapEx spend in fiscal '24 with approximately 30% over a full year CapEx spend in the quarter. This reflects ongoing strategic growth investments, including in network expansions and our mobility preparations. At Cogeco Inc., we have issued the same financial guidelines as Cogeco Communications, and are maintaining such guidelines. As we noted on our last earnings call, we refinanced a large U.S. debt tranche during the quarter, which extended the debt-weighted average term maturity to five years and brought the weighted average interest rate on our debt totally to 5.4%. In Q2, we expect our financial expense to decrease by about $14 million from Q1 as the loss on debt refinancing, which we booked during the quarter will not reoccur in the upcoming quarter. Finally, with a lower share count going forward, we anticipate that dividends at Cogeco Communications will represent a payout of 39% of free cash flow in fiscal '24 at the midpoint of the guidelines, or 27% when excluding network expansions from free cash flow. And now I'll turn the call over to Philippe for a concluding remarks.
Philippe Jette: Thank you, Patrice. And before we conclude this part of the call, we would like to say, that we're delighted that our corporate governance practices have been recognized by the Globe and Mail board games as among the best within Canadian family control dual-class public corporations. And now, Patrice and I will be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Maher Yaghi from Scotiabank. Please go ahead.
Maher Yaghi: [Foreign Language] I wanted to ask you, I noticed that you were quite active in the holiday period and the Black Friday on oxio advertisements and promotions, essentially in Montreal, an area over there. So I wanted to ask you maybe if you can help us understand the economics of oxio and how the subscriber loading that you're seeing from that business is translating into margins compared to your existing business. That would be helpful. Thank you. And if you can help us understand how much of the growth that we saw on the broadband side in Canada came from oxio, as much information as you can provide? I know you can't give us the numbers maybe, but just qualitative. And the second question I had on the U.S. business, are you expecting to see any pricing power improvement in the second half of the year in the U.S. to offset some of the subscriber pressure that we're seeing over? Thank you.
Patrice Ouimet: Merci, Maher. First, to talk about oxio, and I think that's where your question is coming from. We are obviously more visible to you and many others as we are marketing outside of our legacy or traditional footprints with oxio. So we are open for business in other markets. And second, it's a completely different marketing and sales approach where it's completely digital. So we're highly visible to SEM and SEO web advertising. So that's, I think, where you have an impression that we're highly visible, and it's true, we are more visible. Our marketing is not as targeted as it's -- as it is in our traditional footprint.
Philippe Jette: Yeah. So in terms of the margins, what -- obviously, we don't disclose this at the brand level, but obviously, when we are on footprint, because oxio is available in our footprint as well, the price points for oxio are a little lower than traditionally with Cogeco. It's a pure digital brand, so it's a different go-to-market strategy. But the cost to service is also lower. So I would say, you -- we typically make bigger margins in footprint with oxio than we would do out of footprint, where basically we are paying TPIA rates to get access to networks. At this point, oxio is in a high-growth mode still, and because of this, there is a higher level of customer acquisition versus the base that it has compared to Cogeco. Overall, that is growing as well, but not as fast as oxio that is in a high-growth mode. In terms of the Q1 additions of 11,000 units, it came from three buckets. So it came from oxio; it came also from the network expansions we've been doing, especially the ones that we completed in Quebec; and it came also from our legacy footprint. So I will not go more into the details because we're getting very granular at this point, but the three areas have contributed. And in terms of pricing power in the U.S., well, it's normal to have some price increases. We don't talk about the upcoming ones as a practice for competitive reasons, but typically every year we'll have some on the products, and that's also always decisions we take in relation to where the market is. So the last ones we did were affected, I believe, Q4 of last year, but normally we do put some every year.
Maher Yaghi: Thank you, Patrice. So are we to expect somewhat of a higher ARPU contribution from your U.S. business as the year progresses, because we saw practically no ARPU growth in the quarter, if I'm not mistaken?
Philippe Jette: Yes, we do. In the back half of the year, we do see some contribution coming from this, which will also contribute to, from what we're seeing so far, positive EBITDA growth as well. I did mention Q2 in the prepared notes, but that's also true for the balance of the year.
Maher Yaghi: Okay. Thank you very much.
Patrice Ouimet: Thank you.
Operator: Your next question comes from Aravinda Galappatthige with Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my questions. Sort of a connected question with respect to the Canadian side of the business. Again, I think for the third or fourth quarter in a row, you're seeing really good broadband net ads. Obviously, with the success you're seeing with oxio and also with the footprint expansion, it sort of gets harder to assess the legacy Canadian business. Can you maybe sort of qualitatively kind of give a sense of how sort of the market share swings have trended in recent times? What the competitive intensity has been? Any kind of color would be helpful.
Patrice Ouimet: Thank you, Aravinda. Well, of course, we're delighted to see the success of these expansions. We've been talking for some time about them as it takes time to build them, and they were Quebec first, Ontario second. And we have other in progress in the U.S. Now, in terms of our legacy business, it is stable for the most part compared to last year. It's competitive out there. So of course, we have competitors with -- coming with promotions and pricing. We have ours as well. So we grow in expanded area, and we keep our hold on the legacy territories.
Aravinda Galappatthige: Okay, thank you. And just a follow-up on your MVNO comments. Just help us understand your thoughts around the U.S. MVNO initiative. How substantial do you think that could get? I mean, what kind of regions are you thinking about? How broad are you looking to offer that? Do you have any kind of framework there that you can share at this point? Thank you.
Patrice Ouimet: Yes. Like I have mentioned, we are targeting the states we operate in, so it will be mostly helping customer satisfaction and customer retention. So we don't see it as a growth vector on its own, but it will be combined with existing offers and really enrich our product mix where we provide service.
Aravinda Galappatthige: Okay. So, to be clear, you would -- if you'd launch, it would be in all the regions that you're presented in the U.S. It won't be sort of staggered?
Patrice Ouimet: Correct. So, more to come on our launch plans, but technology will be available throughout our footprint.
Aravinda Galappatthige: Okay, awesome. Thank you so much.
Operator: Your next question comes from Vince Valentini with TD Securities. Please go ahead.
Vince Valentini: Thank you very much. If I can start, just trying to clarify a couple of things, Patrice. The 3.4 times leverage figure you gave in your prepared remarks, just to be clear, that at the end of Q1, it does not factor in the Rogers and case transactions. Do you have the pro forma figure after that?
Patrice Ouimet: Yeah. So you're right. And the pro forma, it'd be about 0.1 more. So, it'd be 3.5 times.
Vince Valentini: Thank you. Second, you said CapEx up 8% in the second quarter versus the first quarter. I'm not sure if that -- is that 8 percentage points or a -- on a capital intensity basis or just 8%?
Patrice Ouimet: So for -- basically, what I was referring to is that we had the low amount of CapEx during the quarter and next quarter will be the reverse. So we should have about 30% our overall CapEx for the year spent. Obviously, this can be -- can move a little bit, because CapEx can change from week to week, but we should have about 30% of the annual figure spent in the second quarter, if that's answers the question.
Vince Valentini: Yeah, sorry. I'm just -- it does partially, but the -- I think you said 8% from -- unless I'm mistaken, versus Q2 of last year. Was that 8 points of capital intensity you're talking about increasing, or are you just saying if I take Q2 last year and add 8% to it, I assume it's 8 points of intensity given the magnitude of the swing from Q1 to Q2, but I just want to make sure.
Patrice Ouimet: Yeah, I'm not exactly sure. So I think it would be better actually to refer to the 30%, and perhaps we can take it offline if you want, later on today. But the -- that would be the best figure to use the 30% of the overall year.
Vince Valentini: And you still -- the guidance hasn't changed, even though Q1 came in so low?
Patrice Ouimet: That's right. It's more a question of timing as opposed to a real change in the CapEx profile.
Vince Valentini: Cool. And on subscriber trends start with Canada, you don't want to give us the mix between the three buckets, but can you talk directionally about the rural expansion initiatives, especially the Quebec homes that are done now? Are we at a full run right now, or you must be able to see sort of when homes were lit up and then when subscribers start to get loaded and how that builds from month to month? So you probably have some sort of predictive model of how these things will pace based on the timing of when each little territory was built. Based on that, is -- are we now seeing the full run rate of the Quebec rural households, or is this still to build and get more subscribers as the year goes on? And then do you start to see some of the Ontario rural homes layer in as well?
Philippe Jette: Yeah. So I would say the Quebec built were pretty much done with it. And the houses were released in different quarters. I would say the past two quarters were more prevalent in terms of releasing homes. And then typically you have a period of time. We do plan for a three-year loading in these networks. But because they are subsidized in areas where there is typically slower speeds, that's why there are subsidies. The first year is a bit stronger. So we are in this, so we do expect to continue to see significant loadings in Quebec. And then as we're working with the Ontario program, and that we have several programs in Ontario, this will get added. So it's not a very precise answer, but I would say, once perhaps we start seeing a bit less loading in Quebec, but again, this will go on for a few years. You would probably see the Ontario houses start to contribute.
Vince Valentini: Okay. Second last, Canada price increases, you mentioned U.S. rate increases were done last in Q4 of '23. Can you first-off remind us when the last Canadian price increase was? And then are you getting any sense of competitors making moves? We've obviously pretty high profile. We've seen Rogers announce a proposed rate increase. Don't know if we've seen confirmation from Bell in your regions yet, but given seems to be a move towards some more typical annual rate increases, you can just remind us what your cadence is and when the last one was in Canada?
Patrice Ouimet: So I'll start with the last one. So we had a price increase in Canada in October of last year. So that's the last one we did. And similar to what I was saying for the U.S., we typically have some increases every year. The timing of it can change. The products that are affected can change as well. And in terms of competitive intensity, well, it's always been competitive in Canada, still is right now. Typically it's more on the acquisition front, where this activity can change quite often during the year with the different programs we have to attract new customers.
Vince Valentini: And last one you may predict is coming. But just to ask again, just in case there is any answer for it. I mean, what is the point of CGO as a separate public company now, given how small the float has become post the case, Rogers transaction seemed like that was step one to collapse the holding company structure. But we haven't seen any announcement yet. So is this just a question of getting the paperwork done in timing or do you disagree and this is not something that you might consider?
Philippe Jette: So, as you know -- I'm sorry, as you know the reason why we have two public companies is for historical reasons. It dates back a few decades. And you're probably referring to the fact that we did the recent buybacks and the change in the blocks in the company. It still is a fact, that there's a voting structures in the company. So we're always looking at ways of improving value for shareholders in the company. So that is an option. But there is not much more I can say right now. So we are not close to anything, including this. But anything we do comes with pros and cons and execution risk as well. So that's something we'll have to evaluate with the Board. So not close to it, but nothing really to announce on that front on the positive or negative side today.
Vince Valentini: Thank you.
Operator: Your next question comes from Jerome Dubreuil with Desjardins. Please go ahead.
Jerome Dubreuil: [Foreign Language] Thanks for taking my question. First one is a capital allocation or generation, maybe I should say, we have a higher leverage now. We have maybe investments in wireless that are coming. And you were talking about accretive deals for the share buybacks. What about the U.S.? Clearly, we're not seeing the value of the U.S. cable franchise being reflected in the share price. Would you be open to maybe selling a portion of the U.S. footprint to maybe realize this and improve your pool of capital? You can maybe redeploy or you're still close to the idea and still looking to increase the size.
Philippe Jette: Merci, Jerome. In the U.S., we are really focused and remain focused in the quality of our networks, the customer service. So we all are aware of the challenge we have seen with the increased competition in the marketplace. So we're focused on that. We have seen as well the impact of fixed wireless access and the macroeconomic in these states. This impacts almost everybody. But there -- our focus right now are operational. On -- in Ohio we have turned the dial. We are really working for a net positive net ads plan. So we have our eyes on that. And that's where the focus of the team is right now to improve the quality of the operations to resume our growth throughout all of the markets.
Jerome Dubreuil: Pretty clear. Thanks. Second one is on the lower CapEx in the U.S. I mean, you mentioned inventory drawdowns and the bump the next quarter. Just since you have a new CTO and you have investments coming down the road, is there a change in approach or a philosophy that you have in terms of your edge outs maybe, or new deployments with government programs or this was just really a one-off in the quarter?
Patrice Ouimet: Yeah, it was really a one-off in the quarter, so it's not tied to this. As you know, in Canada, we're building -- we always have some construction that goes on in the areas where we operate and there's new houses appearing. But we have big programs that are subsidized. In the U.S., we have a bit of subsidized programs right now, but the majority is not. It's edging out. So I would say there is no change in strategy with the numbers you saw during the quarter. That being said, as we've discussed before, this is something we always reevaluate in terms of capital allocation, whether we like areas where we're deploying or not, depending on where is the market for ARPUs and also competition.
Jerome Dubreuil: Thank you. And last one for me is, if you can just confirm that you haven't filed for a final offer arbitration yet on the MVNO file?
Patrice Ouimet: Every CRTC process is public and it will be posted on the CRTC webpage.
Jerome Dubreuil: Great. That's super cool.
Operator: Your next question comes from Matthew Griffiths with Bank of America. Please go ahead.
Matthew Griffiths: Hi, thanks. Good morning. Thanks for taking the questions. I just wanted to return to oxio, if I could, just for a second, and just get your comments on whether you're indifferent to adding oxio brand subs within your footprint versus the Cogeco brand and if you're indifferent to adding the oxio subs, obviously, outside of the footprint. If you can comment on that? And then just separately in the U.S., it looks like there was a bit of an increase in the kind of broadband subscriber losses outside of Ohio. And I think, traditionally, this is the footprint where you face like a easier competition perhaps, a slower-speed DSL. So just if you could comment on what you're seeing that is changing outside of that Ohio footprint and the rest of the territory, it'd be helpful. Thanks.
Patrice Ouimet: Thank you, Matthew. First, on oxio, our strategy there is really to open new customer segments, and this is what we're doing. So, it's a full digital offer. It's marketed in a different way, and our first goal is really to open up segments in the markets where we were not as efficient. Of course, it's allowing some customers to switch from one brand to another. But the first and foremost goal is really to open new segments and allow those that are more price-sensitive, actually, to locate their -- the best price and value they want in a larger portfolio. Now, as to outside of our -- in the U.S., your question about outside in legacy territories, we have really focused on customer lifetime value. As I said earlier, the customers we encourage always customers to actually move up in speed or in our product ladder. So we improve ARPUs, we can afford better service to customer with more ARPU per customer. And that's how we balance TSUs with financial performance. So that was and remain our focus throughout our footprint. We want to up the ladder when it comes to product mix.
Matthew Griffiths: Okay, good. That's helpful. And maybe if I could sneak one other one in just on BEAD. I know it's early in the process, but do you have a sense if there are some states within your territory that are maybe going to be kind of leaders in this process? And then maybe there are some others that you're seeing are going to kind of follow later behind? If there's any color at this stage that you can give on, kind of how that is shaking out across the territory, it'd be interesting.
Philippe Jette: Yeah. As you suggested in your question, it's very early. I think at this stage every player is analyzing what they shall best be doing. It's also a per-state process. So a lot of information is coming down from NTIA to the states, but there is much more information that needs to be known. You can certainly assume as a good starting point that proximity is one of the leading factor in selection of bidding.
Matthew Griffiths: Great. Thank you so much.
Operator: Your next question comes from Stephanie Price with CIBC. Please go ahead.
Stephanie Price: Hi, good morning. I was curious about the U.S. margin. I was hoping you could break down the 7% OpEx decrease in the U.S. in the quarter by cost cuts from a programming costs and sales efforts. And I'm just wondering if you would characterize the OpEx savings seen this quarter as driving permanent margin expansion in the region. And maybe finally just how we should think about the cost upside from further cost cuts?
Patrice Ouimet: Sure. So when you look at the EBITDA margin in the U.S., we -- it was basically 48% in Q1. That was half a point higher than the previous quarter, but a little more than 1% versus the previous year. So it is going up. It's a mix of things. So we have -- we constantly -- always look for ways to improve our operations. So, we had a bit of workforce reduction going on in Q4 of last year so that benefits this year. We are doing a lot of effort as well on digitizing our operations, improving the IVR, so these phone systems that people use and be able to provide answers on an automated fashion to customers and basically improve the way we manage our cost in the contact centers. We have also in terms of a mix of product, as there is more video cost cutting in U.S. versus Canada. The video costs obviously are more important than what you see on the Internet side. So that mix also produces a higher EBITDA margin. I don't know if that answers your question.
Stephanie Price: It does. Thank you. And then just post the spectrum auction, hope you could talk a little bit about your spectrum strategy, whether you have enough spectrum to roll at the MVNO and what the options are for any excess spectrum that you might possess?
Philippe Jette: Well, our spectrum portfolio is for the most part the sum of what we have purchased in the 35 auction, the first auction in the 35 -- in the 3.5 band. And now we've topped up many of our markets and supplemented that with 38. So you can see that we're going for a spectrum that is the best suited for 5G. That is clear from our strategy and we're very happy to have successfully execute first coverage. We now have 100% of our wireline coverage. And second, enough capacity to operate and be competitive in the market.
Stephanie Price: Okay. Thank you very much.
Operator: [Operator Instructions] Your next question comes from Drew McReynolds with RBC. Please go ahead.
Drew McReynolds: Yeah. Thanks very much. Good morning. Just a couple of others for me. Philippe, in your opening remarks you talked, within Ohio you're making progress, but have some more work to do. Can you just give us a sense of what still is kind of to be finished or to be determined or to be built up in terms of turning around that Internet trajectory? And then second, maybe for you, Patrice, just not looking for specific guidance, but you've been helpful on the medium-term consolidated CapEx intensity outlook for Cogeco. And specifically, you've commented, I think last, that I think fiscal 2026 is when you maybe fall back below 20% CapEx intensity. Are you able just to reiterate that or provide an update on just where you think things are going to project medium term? Thank you.
Philippe Jette: Sure. The first question was...
Patrice Ouimet: Let me start maybe with the second one then. So, on CapEx, obviously, we do segregate, as you said, the CapEx between regular CapEx and the one that includes expansions. Most of the CapEx going on and obviously, Quebec is done in Canada. We're very focused on Ontario in fiscal '24 and '25 as well. So it is true that based on our current forecast in fiscal '26, this number will come down. There's still going to be some remaining work in Ontario in fiscal '26 based on our current plans, but that's a lower -- to a lower extent than in fiscal '25. When we look at the U.S., these -- as I was saying before, are mainly not subsidized. It's our choice. We do expect that by fiscal '26 this number will have come down a lot. The only question mark will be the BEAD program we were talking about. If we do win these -- some of these subsidized programs, this will provide -- will generate additional CapEx. But we have under the rules four years to build under BEAD, once an area is won. So this can be staged over several years.
Philippe Jette: Sorry, Drew, I was focused on your second question and I lost the first one. So, back to Ohio, and what's left to do there? So you'll remember that for many quarters we invested in bettering the quality, the performance, the capacity of the network in the regions. It took time, but it's paying off. For example, in Columbus -- the local newspaper, The Columbus Dispatch, has now voted us the best network in the City of Columbus. So we needed to go to that, to the time it took to enhance the performance. Now we have the best network in Columbus. The second part is branding. We for many quarters have invested to elevate this Breezeline new brand in a market where there are four or five players. We're the fifth one. T-Mo and Verizon are all over the place, as AT&T and Charter. So branding, we're making progress. It will take some quarters for us to be net positive and find growth again, but we have significantly reduced the decline. And now we're working our way up to a net positive, but it will take several quarters from here to cross that line.
Drew McReynolds: That's helpful context. One quick last one on the timing of U.S. wireless and coming up with your MVNO arrangements, I may have missed this, but any timeframe for when you can kind of launch that offering in the U.S. market?
Philippe Jette: As I said, in the near future. Stay tuned.
Drew McReynolds: Okay. All right. Thanks very much.
Operator: There are no further questions at this time. Please proceed.
Patrice Ouimet: Okay. Well, thanks everyone for being on the call today. As usual, Troy and I are available if you have additional questions. Feel free to reach out. Thank you, everyone, for being here today.
Philippe Jette: Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.